Betsy: Good morning. My name is Betsy. I will be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group, Inc. fourth quarter and full year 2024 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. If you would like to withdraw your question, please press star then two. I would now like to turn the call over to Andy Backman, Vice President of Investor Relations. Mr. Backman, you may begin.
Andy Backman: Thank you, Betsy, and good morning, everyone, and welcome to EMCOR's fourth quarter and full year 2024 earnings conference call. Those of you joining us by webcast, we are at the beginning of our slide presentation. This presentation will be archived in the Investor Relations section of our website at emcorgroup.com. With me today are Tony Guzzi, our Chairman, President, and Chief Executive Officer; Jason Nalbandian, Senior Vice President and EMCOR's Chief Financial Officer; and Maxine Maurizio, Executive Vice President, Chief Administrative Officer, and General Counsel. For today's call, Tony will provide comments on our fourth quarter and the full year 2024. Jason will then review our fourth quarter and full year numbers, before turning it back to Tony to discuss our recent acquisition of Miller Electric Company, our RPOs, as well as reviewing our 2025 guidance before we open it up for Q&A. Before we begin, as a reminder, this presentation and discussion contain certain forward-looking statements and may contain certain non-GAAP financial information. Slide two of our presentation describes in detail these forward-looking statements and the non-GAAP financial information disclosures. I encourage everyone to review both disclosures in conjunction with our financial statements. And finally, as a reminder, all financial information discussed during this morning's call is included in our consolidated financial statements within both our earnings press release issued this morning and in our Form 10-K filed with the Securities and Exchange Commission. And with that, let me turn the call over to Tony.
Tony Guzzi: Thanks, Andy. And good morning, and welcome to our fourth quarter 2024 earnings call. In my opening comments today, I will primarily highlight our performance in 2024, discuss what went well, and the challenges we faced. I will also provide some brief remarks on the quarter before turning it over to Jason, who is going to cover the quarter in detail. I'll then close by outlining our 2025 outlook and guidance. For my initial comments, I'd ask you to turn to pages four and five. For the fourth quarter of 2024, we again had record performance on nearly every relevant financial metric including diluted earnings per share of $6.32, operating income of $389 million, operating margin of 10.3%, operating cash flow of $469 million, and revenues of $3.77 billion, a 9.6% year-over-year increase. It was a great quarter finishing an exceptional year. For 2024, we are at $14.6 billion in revenues, achieving year-over-year revenue growth of 15.8%, had diluted earnings per share of $21.52, operating income of $1.3 billion, and an operating margin of 9.2%. We had operating cash flow of $1.4 billion. It was a terrific year with strong execution across our business, supported by well-timed long-term investments that position us to serve growing, diverse, and technically sophisticated end markets. Our performance culture, centered on mission first, people always, enables us to attract, develop, retain, and reward an exceptional workforce, which in turn drives our strong performance for both our customers and our shareholders. So this morning, rather than providing a segment-by-segment recap of the year, what I thought I'd do is provide an overview of what went well in 2024 and really what has gone well over the last three to five years, as well as some of the challenges we overcame to deliver an exceptional 2024. First, we operate in growing markets that offer long-term opportunities for success. However, to perform well in these markets, you must have the ability to attract, develop, and retain exceptionally skilled labor. You must exhibit excellence in project planning and development, virtual design and construction, and I'll refer to that as VDC, which includes BIM or building information modeling. That then leads to prefabrication and then automation of some of our prefabrication operations. You also need to have experienced leaders down through the segment and subsidiary levels who can manage the performance of the work and earn and maintain the confidence of our customers, highlighting that we have the ability to efficiently execute projects under the most demanding conditions without compromising safety. As we have demonstrated again in 2024 and really over many years, our ability to perform well in growing markets like data centers, high-tech and traditional manufacturing, healthcare, energy retrofits, and water and wastewater projects provide us the opportunities to generate above-market growth. At EMCOR, we pivot to sectors where growth and opportunity exist, and we deploy our skilled workforce and leadership teams to tackle the most difficult projects for customers who value our capabilities, experience, and strong balance sheet. Further, we have a broad service offering and the trade depth to effectively execute that offering. Our extensive capabilities across the mechanical and electrical trades allow us to provide a more comprehensive scope and give us the desired scale for our customers. In the electrical trades, we can offer the full range of medium and low voltage solutions across geographies and markets and customers. Our mechanical capabilities span large complex mechanical and piping systems in high-tech and traditional manufacturing, industrial, oil and gas, healthcare, and water and wastewater projects that often require superior VDC and prefabrication capabilities to ensure efficient, precise, and safe execution. Our mechanical capabilities extend to FireLife safety where we design, install, and service some of the most complex fire suppression and alarm systems. Beyond construction, our capabilities extend to the aftermarket where we have the skills and scale to meet our customers' needs with HVAC and building control service and retrofit projects, as well as electrical retrofits, low voltage work, and the fire life safety service solutions mentioned above. Finally, we invest in the long term for our people, and we are disciplined capital allocators. At our core, we are a company that succeeds because of excellence in built leadership and skilled labor united by our core values of mission first, people always. We have a comprehensive leadership development program from project managers and foremen to segment and corporate leadership. We train extensively across the skills that enable our success. We also have leading succession management as evidenced by the fact that 80% of our subsidiary segment promotions are internal and well planned. Our voluntary turnover rates at the subsidiary and segment leadership levels are near zero, as we have a pay-for-performance culture and we work collectively as a team to achieve superior results for our customers. Our capital allocation model is balanced and effective, focused on building the business first through organic investment. For example, over the past three years, we have more than doubled our capital investment in the business with CapEx now in 2024 of $75 million. We have a very successful acquisition program and we returned cash to our shareholders through dividends and share repurchases. In 2024, we completed seven acquisitions for approximately $230 million and we returned $43 million in cash through dividends to our shareholders and $500 million to our shareholders through share repurchases. The Miller acquisition, which we will discuss later in this presentation, closed on February 3, 2025, and is a great example of our capital and discipline in action. As we have said in the past, deals happen when they happen, and we are disciplined acquirers focused on building our overall business to better serve the demands of our customers through offering diverse services across markets and geographies. While 2024 was an exceptional year, we did have some challenges. These include ongoing supply chain issues, finishing some pre-COVID work that was not the greatest, and the intense competition we faced in our US and UK site-based services business. Building and maintaining our skilled workforce is always a challenge, but our field leaders are best in class in labor planning, sourcing, training, and retention. We anticipate facing some macro and other potential challenges in 2025, but as we've done in the past, we will work to protect ourselves with excessive planning and where appropriate prefabrication and automation coupled with the right contractual terms and structures. As contractors, it is in our DNA and training to adapt and improvise to achieve acceptable results. We exit 2024 with RPO growth of 14% year over year, aggregate RPOs of $10.1 billion, another record for the company. Miller added over $700 million RPOs as of our February 3 closing that is not in the $10.1 billion 2024 year-end number discussed above. Our balance sheet remains liquid and strong, even after the $865 million acquisition of Miller. With that, Jason, I'll turn the discussion over to you.
Jason Nalbandian: Thank you, Tony, and good morning, everyone. Starting on slide six, I'm going to review our operating performance for each of our segments, as well as some of the key financial data for the fourth quarter of 2024, as compared to the fourth quarter of 2023. I'll also touch on some of the highlights for our full year performance, in addition to our acquisition of Miller Electric, and the impact on our guidance for 2025. As Tony mentioned, consolidated revenues were a record $3.77 billion, an increase of $330.8 million or 9.6%, which was led by our construction segments, as we continue to execute well and demand remains strong across most of the key sectors that we serve. On an organic basis, revenues grew 7.4%. We look at each of our segments, revenues of US electrical construction were $933.2 million, an increase of just over 22%. The most significant growth in this segment was experienced in the network and communications market sector due to a number of data center projects. But beyond data centers, demand within this segment continues to be broad-based with notable revenue increases within high-tech and traditional manufacturing, transportation, and institutional. US mechanical construction generated revenues of $1.66 billion, increasing 12.8%. Similar to electrical construction, the largest growth during the quarter was seen within network and communications. In addition, this segment experienced revenue increases within a number of the other sectors in which we operate, including high-tech manufacturing and healthcare. Revenues of the mechanical segment also benefited from higher levels of service work, as we continue to grow our mechanical and fire protection maintenance base. As expected and consistent with my comments the last several quarters, partially offsetting the growth in both of our construction segments was a decrease in revenues from the commercial market sector due to either reduced demand across the commercial real estate industry or the completion of various warehousing and distribution projects. Further, within the mechanical segment, we did experience a quarterly decrease in revenues from the manufacturing and industrial sector due in part to the timing of project startups. With a robust pipeline of traditional manufacturing and food processing projects, along with a 7% year-over-year increase in manufacturing RPOs, we remain confident in the underlying demand drivers of this sector. On a combined basis, our construction segments generated revenues of $2.6 billion, an increase of 16% year over year. Looking at US Building Services, revenues were $755.6 million, representing a decrease of 5.8% due to the nonrenewal of certain facilities maintenance contracts discussed on prior calls. An $89 million reduction in revenues from our commercial and government site-based more than offset the continued strength of our mechanical services division, which grew revenues by $42.5 million. We experienced revenue growth across each of our mechanical service lines, and just as a reminder, we began to see the impact of the loss of site-based contracts in the second quarter of 2024. As such, when we look forward, we do anticipate a revenue headwind of $60 to $70 million within US building services for the first quarter of 2025. If we move to industrial services, revenues were $312.7 million, an increase of 6.9% driven by the segment's field services division inclusive of an acquisition made by us during the year. And lastly, UK Building Services delivered revenues of $107.9 million, generally in line with that of the year-ago period. Let's turn to slide seven. With operating income of $388.6 million, or 10.3% of revenues, our performance established new quarterly records for both operating income and operating margin. When compared against the fourth quarter of 2023, this represents a 34.4% nearly $100 million increase in operating income and operating margin has expanded by 190 basis points. Once again, turning to each of our segments. US Electrical Construction generated operating income of $147.9 million, which represents a 94% increase. Operating margin was an outstanding 15.8%, a 580 basis point improvement. In addition to a more favorable mix of work, this performance is a true testament to the exceptional execution by our operating companies and project teams. Operating income for US mechanical construction was $220.6 million, an increase of 18.6% year over year, and operating margin of 13.3% expanded by 70 basis points. Similar to electrical construction, a more favorable mix of work and excellent project execution were the primary drivers of this performance. From a market sector perspective, our construction segments generated greater gross profit from the majority of the sectors in which we operate, with the largest increases generally tracking the growth in revenues. Together, our construction segments reported an operating margin of 14.2%, which is a 250 basis point improvement year over year. Operating income for US Building Services was $40.9 million, a slight decline year over year, however, operating margin remained strong at 5.4%. With the loss of the previously referenced site-based contracts, the composition of this segment's revenues has shifted to a greater proportion of mechanical services, resulting in an increase in gross profit and operating margins. Moving to industrial services, operating income was $10.2 million, a decrease of $2.4 million, and operating margin was 3.3%, a reduction of 100 basis points. Despite the increase in revenues, this segment experienced a decrease in gross profit and gross profit margin given a less favorable mix of work due in part to lower revenue contribution from our shop services division. Lastly, UK Building Services earned operating income of $4.8 million. In addition to the impact of slightly lower revenues, operating margins in the UK have declined by 50 basis points as the segment's project portfolio in last year's fourth quarter included a greater number of higher-margin opportunities. If we move to slide eight, a few quarterly highlights on this slide starting with gross profit. Driven by our Electrical and Mechanical Construction segments, as well as our US Building Services segment, gross profit margin has expanded by 210 basis points with gross profit increasing by 22.5%. Our fourth quarter SG&A increased by just under $40 million, which includes $9.5 million of incremental expenses from acquired companies. The remainder of this increase is largely due to employment costs given both greater headcount to support our organic growth as well as higher levels of incentive compensation expense across our operating companies due to their improved performance. SG&A margins for the quarter of 9.8% compare to 9.6% a year ago. The 20 basis point increase is a direct result of the expansion in gross profit margin and corresponding increase in subsidiary incentive compensation that I just referenced. Finally, on this page, diluted earnings per share was $6.32, compared to $4.47, an increase of 41.4%. If we briefly turn to slide nine, this page summarizes our performance for the full year. Tony touched on much of this already in his opening commentary, rather than walk through these results in detail, I simply want to highlight that our performance for 2024 sets new company records for virtually every metric that we track, including annual revenues, gross profit and gross profit margin, operating income, and operating margin, net income, and diluted earnings per share. Notably for 2024, we earned a full year operating margin of 9.2%. As we look ahead, we remain confident in the underlying fundamentals of our business. When Tony outlines guidance for 2025, you will see that we are once again projecting a year of strong operating margins with a range of 8.5% to 9.2%. When looking at this range though, it is important to note that we anticipate a 25 to 30 basis point impact from incremental intangible asset amortization stemming from the Miller Electric acquisition. With that being said, if we look first to the high end of this range, we are projecting an operating margin which would match the record margin we earned in 2024, despite the incremental amortization. Under this scenario, we're essentially forecasting a level of margin expansion within the underlying business. At the midpoint of our margin range, we have assumed a full year operating margin of approximately 8.9%, which when accounting for the incremental amortization is essentially in line with the 9.2% operating margin we earned in 2024. Finally, at the low end of our margin range, we've assumed a full year operating margin of 8.5%, which includes some measured assumptions due to macroeconomic and other uncertainties. When looking at margins, it's also important to remember that we are a project-based business, and our margins can and will move around from quarter to quarter based on the mix and timing of our work. Let's turn now to slide ten, which is our balance sheet. As we've previously stated, our balance sheet remains strong and liquid, and combined with our history of operating cash flow generation, provides us the flexibility we need to invest in organic growth, pursue strategic acquisitions, and return capital to our shareholders. Although not shown on this slide, operating cash flow for the fourth quarter was $470 million, and for the full year, we generated over $1.4 billion of operating cash, equivalent to nearly 105% of operating income. We remain committed to our philosophy of balanced capital allocation, and believe this is reflected both through our acquisition of Miller Electric, which Tony and I will speak to on the next slide, and our announcement today that our board of directors has approved a $500 million increase to our share repurchase program. So let's turn to slide eleven where we highlight the Miller acquisition. Based in Jacksonville, Florida, Miller Electric expands our presence in the southeast, where we previously had limited electrical operations. For full year 2024, the company generated estimated revenues of $805 million, and $80 million in adjusted EBITDA, with RPOs as of December 31st, of just over $700 million. We anticipate that Miller will contribute meaningfully to our projected revenue growth in 2025, with approximately 35% to 50% of our growth coming from Miller's contribution beginning in February of 2025. We also anticipate that the acquisition will be modestly accretive to diluted earnings per share in 2025, with further accretion in future years as backlog amortization runs off. When we reference EPS accretion, there are three factors which need to be considered. Those include the underlying operating contribution from the business, the incremental intangible asset amortization, which we estimate to be approximately $45 million in the first year, and a reduction in interest income resulting from the all-cash purchase. When you consider all three of those factors, we estimate EPS accretion in 2025 of between 10 to 15 cents. With that, I'll turn the call back to Tony. I know he wants to say a few words about the acquisition before we continue.
Tony Guzzi: Yes. Thank you, Jason. And look, we couldn't be more excited. We finally got into a deal with the team for Miller Electric, Henry Brown, his brother and family, and the ESOP shareholders of that company. You know, we first started talking to each other almost six years ago to get to know each other because they're a leader in our space. And we're a leader in this space. They've always had this unbelievable reputation for professionalism, care for their employees, and excellent execution for their customers. And also disciplined capital allocators much like we are. It is really an acquisition that positions us to serve our customers better throughout the southeast. And also provide opportunity to expand opportunity for the team at Miller and grow the business substantially. It's already grown substantially over the past five to ten years, but to even grow more. I think when Henry and I talked about the acquisition, it was not an acquisition based on big changes in their operation because quite frankly, they already look a lot like EMCOR. They're an IBEW leader and contractor. They run their company very much like a public company, with the care and fiduciary responsibility of what a public company does. They have training programs. They have an inclusive culture. Their values almost identically match our values of mission first, people always. And you've heard me talk in the past about when EMCOR does an acquisition, we first look at their excellence and acceptable field execution. Without a question, the folks at Miller Electric and the team there are excellent in field execution and really deliver for the customers in a safe, productive manner. Then we also go back to the main office and say, do they share our values? And we can say, conclusively, that the values of Miller Electric and EMCOR align specifically, especially around the values of discipline and integrity and trust and transparency and safety and teamwork. And then they also add to that the embrace of the community, which they would, like many of our local companies do. There's nothing we really want to change at Miller. What we want to do is take the best of Miller and bring it into EMCOR and take the best of EMCOR and bring it to Miller. And we expect a long and prosperous future. We're excited that Henry and his team are going to be leading that business into the future. And report under our electrical segment to Dan Fitzgibbons who, you know, I'll modestly say is one of the top data center people in the country. So their mix of work actually brings more diversity to us. They're about 24% data centers, 23% healthcare, 15% commercial. They know how to do the hardest industrial work. And they also know how to put work in the sports entertainment market, which is a growing part of the Florida market. They will be based in Jacksonville, Florida, and we look to grow the Miller footprint from Jacksonville, Florida throughout the Southeast through both organic growth and acquisition. So Henry Brown and his team will be key parts of the EMCOR leadership going forward. And it's about as near perfect a match of how a company's run as what we've seen at EMCOR. You take the best subsidiaries at EMCOR, you can lay it alongside how Miller's run, and they're almost identical. With that being said, I'll now move on to RPOs, which will be pages twelve and thirteen. And I'd ask you to turn your attention there, and I'd ask you to pull those pages out or look at them side by side like we have the last couple times. And what you'll see on page twelve are some key trends in market sectors where we continue to see growth. If you look at data centers and connectivity, we continue to see strong demand for hyper which we include in our network and communications sector. At the end of 2024, our RPOs in the sector were a record $2.8 billion, up $1.25 billion, or 80% year over year, and 31% sequentially from the end of the third quarter. As I said on prior calls, we continue to believe we're in the early innings of the overall data center expansion. We have successfully positioned ourselves in key data center geographies over the last several years. Miller even brings us more geography to serve the data center market. And we do that by expanding our capabilities both through organic capability building and acquisition and Windows acquisitions building more capability. I also believe we're in the early innings of reshoring and nearshoring. And it will continue to provide us opportunities for both the high-tech manufacturing and the manufacturing industrial sectors. We expect this to even strengthen more as customers invest more in capital in these sectors, as well as in oil and gas projects. Look, a lot of talk will go around tariffs. We believe long term, the equalization of trade is a plus for EMCOR. There'll be some near-term hiccups over that we will work through like we always do. But long term, the equalization of trade is a good thing for EMCOR as reshoring and nearshoring will be part of that. High-tech manufacturing, we had just over a billion dollars at the end of the quarter. That includes semiconductor, pharma, biotech, life sciences, and electric vehicle value chain. RPOs in the sector were down sequentially year over year by 18.2% and 29.6%, respectively. Look, driving this is the episodic nature of these projects, especially in the semiconductor space. You know, you go through initial phases of multiyear projects, multi-phase locations, and then they reload and get ready for the next phase. Also, it's defined as we complete it, especially in the fire protection side. Certain electric vehicle manufacturing or EV value chain projects. Look, I continue to believe, we continue to believe, our customers continue to believe, and the long-term fundamentals of high-tech manufacturing. That's especially true on certain semiconductor sites. And that's especially true in bio life and pharma. And on EVs, you know, we're going to have more share in EVs than we have today. There are going to be hybrids, and they're all going to need battery plants. And the value chain built to do that. We remain positive long term in expansion. Each one of these placed sectors in high-tech manufacturing. In addition, we continue to see a healthy base of RPOs within the traditional manufacturing industrial market sector. Go back to that reshoring nearshoring trend, which I believe we're in the early innings in. RPOs there are $863 million at the end of the quarter, up nearly 7% year over year. And then finally, looking at energy efficiency and sustainability, good long-term market for us. For as long as I can remember. We continue to excel with retrofit project work, especially within the mechanical services division of our US Building Services segment. Where we had RPOs of over $1.1 billion. As a reminder, this is focused on tenant fit-out, retrofitting outdated equipment, integrating building controls, and it's really focused on making the space better, more efficient, and also reducing usage and costs. These projects also increase overall system performance. Go to page thirteen. You're going to continue to see strong demand in healthcare. We ended the quarter with another record $1.3 billion in RPOs, up 26% from the year-ago period and 8% from the third quarter. Our water and wastewater RPOs were $683 million at the end of the quarter, up approximately 6% year over year. These projects are episodic in nature. These are big size of scope projects for us. And this is mostly a Florida market for us. RPOs in the institutional sector, which include projects where we're schools, universities, and local, state, and federal buildings were up 18% year over year, coming in at a record $1.1 billion. Spending on research facilities, new classroom space, technology upgrades across campuses, renovation retrofits with indoor air quality and reduced energy consumption is really what's driving demand in this market sector. Transportation RPOs grew 12% year over year to $294 million, largely driven by airport construction. And then finally, we had short duration projects of $457 million. Go back to all the retrofit projects we talked about. This is about energy-efficient, smarter, cleaner, and more productive buildings. Partially offsetting our RPO increases were expected declines in commercial, and there's no surprises there. Although, I will say, see what happens now. At the back half of 2025 and into 2026, as return to office mandates become more prevalent. And then buildings will be retrofitted because they really have some of them haven't been occupied for five or six years. As I mentioned earlier, total company RPOs at the end of the fourth quarter were $10.1 billion, up $1.25 billion or 14.2% year over year. Miller will add another $700 million next sort of December 31st sort of similar number. That will be additive to that $10.1 billion. We're pleased with the RPO performance, particularly in light of that strong revenue growth we had through the year and in the fourth quarter. It demonstrates continued strong demand for our services, and we are pleased with our project pipeline, which remains strong and diverse. I get ahead of you on the question on this. Obviously, with the margins Jason talked about, we believe what we have in RPOs is very similar to what we executed over the past year. And we also believe what we're bidding on now is very similar with our outlook we gave you to what we've done over the last two years. So in closing, I'm going to go to page fourteen. Obviously, 2024 was another great year for EMCOR, another record year. Our team accomplished much, and with the addition of Miller Electric on February 3rd, I talked about this. We already added another great team to our already solid foundation for future growth. For 2025 and beyond. As we set our 2025 guidance, obviously, we while acknowledging, you know what, there's challenges in the broader economic environment, you know, you copy and paste from year to year? There's always challenges in the broader economic environment. And in order to adjust these challenges, we will do what we always have done, you focus on what you control, and you execute well, you continuously plan for what you don't control. Don't overcommit your resources, and you continue to develop the right leaders and you continue to retrain, train, and develop leaders and also the best-skilled workforce in the industry. If you do that, things tend to work out okay. What we do know is these things. We should continue to earn our customers' confidence to build and service their most project challenging campuses, buildings, and manufacturing plants. As such, we believe that our diverse market sectors provide the opportunity for us to grow our business to $16.1 to $16.9 billion in revenues, and that's inclusive of the Miller acquisition. We expect to earn diluted earnings per share between $22.25 and $24. We expect our operating margins, pre-Miller, to continue to be strong and anticipate Miller will perform well. But intangible asset amortization, Jason went through all this in the first year of an acquisition. You take EMCOR overall. He talked about this. It's going to nick us between 25 to 30 basis points for the full year. Also, just to be clear, and I think I've said this nine out of the last ten years and I might have missed one, it's always important for people to remember this is not a quarter-to-quarter business. Project timing and customer releases and all always go as planned. Right? And so guys plan quarterly. We don't. We recognize that we may need to overcome headwinds from potential tariffs, which may be negative in the short term. And I said this, I believe long term, that'll be positive for us as it may drive more reshoring. We also see volatility around supply chains. I just think that's a constant state of business now. It could and a global supply chain will continue to face challenges and uncertainty. Further, we understand that the new administration may delay our end funding under certain legislation and it probably benefited our customers. Overall, we will manage these uncertainties as we always have. We're going to be vigilant on cost, vigilant on planning, and vigilant on pricing and contractual terms. We're going to bring prefabrication and automation to bear to keep our costs under control. We'll keep our SG&A costs under control, and we won't overcommit to either contracts or schedule. We will continue to be balanced capital allocators. We will allocate more capital to acquisitions. We allocated more than 2024, and we will continue to allocate acquisitions for the remainder of 2025. We expect the acquisition market to remain active. We'll continue to invest organically. We'll continue to return cash to shareholders as evidenced by the expansion of our share repurchase program. Thanks to our teammates for taking care of each other, living our values of mission first, people always, and continuing to work in a safe and productive way to deliver exceptional value to our customers. With that, I'll take questions. Betsy, over to you.
Betsy: If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. At this time, we will pause momentarily to assemble our roster. First question today comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Hey. Thanks. Good morning. Congrats on the strong year and the Miller deal.
Tony Guzzi: Thanks, Brent. Appreciate it.
Brent Thielman: Yeah. Hey, Tony. Maybe just on Miller. I mean, I take from your comments it sounds like a really well-run business. I guess more so wondering if there are opportunities or future revenue synergies to gain when you can sort of combine it with some of your existing operations in the Southeast?
Tony Guzzi: Yeah. We really only have overlap in two markets of any size, and we think of net additive in both. We have some overlap in Texas. We have some overlap in mid to southern Virginia. And in both places, we think that's additive. But that's part of the opportunity. The other part of the opportunity with Miller is, you know, we share customers. And they're going to want us to do more. We're Miller's customers, have confidence in them, and we may not have the relationships or we have relationships where they're going to want to bring Miller into play. Especially as you expand to some of these larger projects, whether that be data centers, manufacturing plants, or healthcare services. Those are the places where I think we have the most synergies in the near term. Then look, Miller, you know, in EMCOR, we think of some of our bigger companies as platform companies. And Miller will serve as a platform company for us through the southeast. We think it opens a window into acquisitions in the Southeast. Not large electrical contractors, but small to midsize ones. Who will allow us to build scale and serve our customers better and more Southeastern markets.
Brent Thielman: And, Tony, I mean, it looks like data centers may be approaching sort of 30% of your RPOs. Maybe to what degree you're seeing the influence of new AI data centers in your bookings now? I know it hasn't really been influential to revenue yet.
Tony Guzzi: Yeah. I think that's a fair comment. The way we think about it now, do we know exactly what our customers are going to use those data centers for? No. But the way we know that is because of the kind of systems they're putting in and the kind of megawatts they're using. I would still say based on the mix of work, we expect most of 2025 to still be building cloud storage data centers with a little AI. But the mix has started to come in with some AI data centers. And I said the only way we know that is through the megawatt and systems they're using. They need more cooling. They need more power. You know, it's always, you know, I always, like, take a step back when I think of things and people react to up markets. There's been a couple of these through the last three years. The reality of all this is I still believe we're in the early innings. Like most major capital expansions, nothing's ever linear. I know that, you know, where we were building on three sites and there were maybe only three or four or five sites doing data centers in the country in 2019, Danny Gail, today, you would say we're building hyperscale data centers electrically at about fifteen different locations, geography-wise. And we talked about how we did that. So clearly, and I think these are some of the smartest planning people that I've had the privilege of watching work. You know, they, you know, I don't think Deep Sheet caught them by surprise. I think they have a plan. They're executing. And they're, and what they've been in, if you think about that expansion of sites, there's two things. They're mitigating their risk, and it allows us to bring different labor to bear. But also, they've been in the search for power. Right? And there's, you know, manufacturing sites that aren't as strong as they were till you go up to the shores of Lake Michigan outside of Chicago or towards South Bend. You go to places in Iowa. You go to places in Oklahoma that were major manufacturing sites. One time. The power is there and there's excess power. So they've been moving towards this excess power. And what would have held it up, I think, in some of the more mature data center sites they were starting to get worried about a dearth of power maybe developing somewhere around, you know, 2027, 2028. I think one of the positives of the new administration is the realization that you need base load power to stabilize the grid and also to support not only reshoring and nearshoring, but also any industrial expansion, and also to become a leader in AI. So I do think what you'll see is more gas plants built and those gas plants will enable those existing sites to continue to flourish and develop. And I think that's a key enabler to say, decent visibility, you know, we're contractors. For the next two or three years, we have decent visibility into the data center build but I think it extends far beyond that.
Brent Thielman: Really helpful. Tony, last one that I guess I have to ask on margins. Appreciate your opening comments. But, I mean, the move in electrical margins here has just been phenomenal here in the last few years. And I, you know, I guess the question I get is, you know, how do you build upon this? Are there still opportunities from, you know, execution, efficiencies, and utilization that field, you know, open-ended question, but love to hear.
Tony Guzzi: Yeah. Look. I would be cautious to say we're going to build on these margins. Right? Especially the margins you saw in the fourth quarter. I will say though, we obviously believe in the stability of margins based on our guidance. And if you combine the margin profile we have, with the efficiency of capital, we're operating the business from a return on net asset basis right now in our construction businesses. They're doing great. And, you know, if you told me I could run an 8.5% to 10% EMCOR forever, I would take that deal from you. It'll bounce around quarter to quarter. Right? If you could tell me I could generate cash flow between 70% and 100% of EBITDA, I would take that deal. Right? And if you told me that we're going to continue to move the mix and continue to have opportunities to expand our mechanical service business, which also has leading margins, will solidify that site-based business at a smaller size. We'll take that deal. So when I look at what we have, why we're achieving those margins, in my estimation, very little of it has to do with price. We still have some of the most difficult customers in the world. They're demanding. They're not paying us one more nickel than they have to. We're being innovative in our means and methods. We're sharing those means and methods, how to get things done more efficiently for customers around the country. We have great data center peer groups, both mechanically, electrically, and in our fire life safety business. People come to us because they know they're going to get it done efficiently, safe, productively, and it's going to work. We also know how to integrate further upstream with our VDC capabilities to know that we can help get involved earlier in the design to get to design for constructability. I think our excellence in VDC, BIM, and prefab, and the way we share knowledge is really unmatched. That's the investments we've made. You know, we talked about the capital investment profile, which is still small. You talk about it's been very targeted. It's been very targeted to the software enabling tools, the VDCs, the expansion of prefabrication, then the linkage of that prefabrication where customers feel confident that they can link us in earlier in the design so the design for constructability and speed happens earlier. I think all that together, especially on these large projects, have allowed us to achieve superior margins, and then it gets down to the base of great labor management in the field. Having the right crew mix assembled. And then quite frankly, the union's working with us to assemble the right crew mix and we're a destination employer, whether you're a union or non-union in the field. You put all that together, you train the hell out of your supervision from foreman up through superintendent to project manager to CEO. You drive people to the financial metrics that matter on a project in a company. And you get good results. All of that, right, you have to have a good market. Right? If you don't have a good market, those things are not as easy to do.
Jason Nalbandian: The only thing I think I'd add on margins. Right? We obviously provided our expectations for the full year on a consolidated basis. If you think of our segments and you think quarter to quarter, I would just say if you look at trailing twelve, eighteen, twenty-four months, that gives you a good look at where the margins will bounce around between quarters.
Tony Guzzi: Yeah. Good point, Jason. I just I gotta make a comment though. I think it was early 2022. We had some not to sort of bring up, you know, bad news, but in early 2022, we had some late starts on some data center projects. It was switch gears specifically wasn't getting delivered on time. We held on to a little bit of excess labor. And no offense, Brent, but, you know, our analysts' hair were on fire about margin in the quarter, and we said, we're pretty sure we're still the leading electric contractor. They can execute better than anybody in the field. Here's what's going on. And so will that happen again? I don't think anytime soon. But there's variables of control, but you can bet we're going to always take the opportunity to hold on to our best field supervision and not react to a short-term blip. And that's why margins aren't a core I'm not foretelling anything here. This is not a quarter-to-quarter business with margins.
Brent Thielman: Understood. Appreciate you taking all the questions. I'll pass it on.
Tony Guzzi: Thanks, Brent. Next question, Betsy.
Betsy: Next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Morning, Adam.
Tony Guzzi: Good morning, guys. Congrats on the year and the Miller acquisition. And then you could add it on the Outlook?
Tony Guzzi: Right? It's a pretty good Outlook. I was trying to be brief, but congrats on the I'm trying to get your high-level thoughts on capital allocation.
Adam Thalhimer: Yep. So would you guys be willing to hold a little bit of net debt, you know, if you found another Miller or if you really wanted to lean into the buyback? Quickly.
Tony Guzzi: I think on the former, not the latter. I think we would take on net debt or look, I think we're comfortable between one and two times for a short period of time. And we're comfortable really at point five to one on a sustained basis if we needed to fund the business. If we found another Miller, which I'm not sure there's another one exactly like Miller, yes. We would lean in and do that. Because the synergies and the profile of that company if you go from field execution back to the values they run that company by, was a perfect fit. There's not that many out there like that. There that don't create problems for us with too much overlap. And then it's a destructive acquisition. There are still a few out there. That are smaller but still sizable. So the answer to that is yes. And I think, Jason, that you agree with on this. Right? Deals happen when they happen. And you just try to make sure your balance sheet is flexible enough to take advantage of that. And so the buyback for us is where excess capital goes. And we're not afraid to do that. But would we lever up to do a buyback? No. I don't think that would be a good use of capital.
Jason Nalbandian: Agree, Tony.
Adam Thalhimer: And then wanted to ask about how we should think about the building services segment from a high level. I'm curious. Is that kind of slow growth, slow growth with better margins over time?
Tony Guzzi: I think we still have a couple tough compare we have a tough comparison probably through the middle of the year as that contract the year over year rolls off. I think growth will return sort of maybe fourth quarter of this coming year. I think it will be more weighted towards always been weighted towards mechanical service. I think we in their term, we won't be building the site-based business to the level it was. We won't win that kind of contract anytime soon. Also, it's a smart management team in site-based. They're not going to chase the real estate people down to the bottom. If someone values our technical capability, our program management capability, and really understanding how the equipment actually works in their buildings. Then we're the right solution for them. If they want a fast buck turn with the real estate guy, they can knock themselves out.
Jason Nalbandian: I think that's part of the reason why even when, like, a quarter like this one where we're seeing a decline in revenue, we're still seeing strength or expansion in margins. Right? We're focused on higher margin work and letting revenue.
Tony Guzzi: And we still see, you know, we have quietly built out that mechanical service business to a leading position. Through organic growth and small tuck-in acquisitions, we see still a world of opportunity in front of us to do that. And we'll continue to buy mechanical service companies, which for us means real service companies. Right? They do small project works, HVAC retrofits. We'll continue to look for the opportunity in every one of our markets to add building controls capability.
Adam Thalhimer: Alright. Thanks, guys. Good luck in Q1.
Tony Guzzi: Thanks, Adam. Next question, Betsy.
Betsy: The next question comes from Brian Bofe with Stifel. Please go ahead.
Brian Bofe: Thanks. Good morning, everybody. I would extend my congratulations as well. Very nice quarter, very nice margin performance. Wanted to ask on healthcare. That was another strong area of RPO performance in the quarter. I guess, could you talk about what you're seeing there in terms of demand dynamics you're currently?
Tony Guzzi: Yeah. The demand dynamics we're seeing there are really centered around new hospitals, new operating suites, in the podium, new patient towers. And I think some of this is being accelerated a little bit because of COVID. And they had outdated hospitals and outdated patient towers. And they realized they didn't have enough patient rooms. And so there's a balance going on there. Expansion, you know, the growth in places like Florida in the southeast, and in the Southwest, you're also seeing the growth there in Texas. You know, just demographically growing. And in the northeast, you're just seeing old hospitals being rehabbed and rebuilt. I mean, doing some work up in Boston right now. It's magical how they're putting this project together while they keep the hospital going. Of one of the leading healthcare hospitals in the world. And so we're good at that stuff. And if you think about a hospital, and if you would stand at the bottom of the hospital and look up, it's a system-rich environment. Data center, much like a semiconductor plant, much like a manufacturing plant. Hospitals tend to be a little heavier. Like, data centers are more electrically heavy for us sometimes. Hospitals tend to be more mechanically heavy. Because you think about you're bringing med gases in, you're bringing HVAC in, you have air purification systems. You're doing, you know, positive and negative pressure rooms, and you're trying to make them flexible. You have air changes that have to happen not within the patient rooms. You have to isolate things. You have to have constant humidity. I mean, there's a lot of things that go into it. And that's where, you know, working with the engineers, we don't design them. But working with the engineers to figure out which system's going to work best and then being able to commission it the right way, very complex commissioning. And then a lot of times, you know, we usually have service operations in those markets. After a year or so, maybe we can get lucky and hand it off to them.
Brian Bofe: Yeah. That's really helpful. Thank you. And then green shoots there. Curious if you're seeing similar. And can you kind of remind us how important of an end market that is for you guys?
Tony Guzzi: Look. Again, go back. We're contractors. And so quite frankly, when warehousing came down, we were pivoting to data centers anyway. And from our perspective, the kind of fire and warehousing for us was mainly a fire life safety. And on the margins, only where the high substation where they were trying where people like Amazon were building substations for electric vehicles, major, you know, power input where we're doing gate electrical work at a warehouse. So the reality is, FireLife Safety, that's an easy pivot from us, from warehousing to data centers, we were underway anyway. We are seeing some green shoots in warehousing. I would offer a lot of it sort of smaller scale. Cold storage warehouses have been where it's been picking up for us lately. And secondarily, there's a lot of reracking going on in these major warehouses. They're becoming much more automated. That has become much more automated. We do some of that work. But also, when you do that, you have to bring more fire protection to bear into those projects. Because now there's more fire protection within the racks because the racks are stacked much closer. And therefore, you need more fire life safety in them.
Brian Bofe: Yeah. That's helpful. And then one other one for me real quickly here. You called out tariffs as a risk factor. Can you remind us how you may potentially be impacted there and talk about how you guys have managed through that in the past?
Tony Guzzi: Yeah. So let's just rewind to 2021. Very quick price increases from just about everything we did. I don't think it'll be that unplanned and that abrupt already isn't? And, of course, we're prepared for it. So how do we think about it? Well, first, if we can get the contract terms in place, which we've been working on since 2021, to say, hey, if there's a sudden change in prices, we're going to pass that on to you. Secondarily, if we're on a large project and think about EMCOR. I'd say it's a third, a third, a third. Right? A third of our businesses, small projects and service, that's continuously getting repriced. Any pricing that goes up, that's what's going to happen. So this is material pricing is what tariffs are going to impact us. That part of the business isn't really going to be impacted at all. And if it is, not going to be able to find it on the income statement in any meaningful way. Second part of EMCOR projects are sort of a million to ten million dollar projects give or take. That's about a third of our EMCOR business. Right? That's across the whole business. And if you look at that, that's a little quick return. We may get nicked a little bit. Again, probably not material, what will happen. And then you get to the third, just the larger projects. Then let's bifurcate that third. When we're doing data center work, semiconductor work, these big manufacturing jobs, at one time, rewind ten years ago, we would have bought all the major end systems. We'd have brought the chillers, the air handlers, we would have bought the switch gear. Because of the lousy lead times in the supply chain, the owners of the GCs purchased that. Now mainly the owners, even if they're buying through the GCs, and they basically send the equipment to us and we get a handling fee. So that's probably of that 33%, that's probably half of our or more of our material cogs. We're really not exposed much at all there. And then the balance is on pipe, wire, and conduit. It's up to us and our local folk working with distribution to protect our prices when we've got a long-term commitment. And right now, we may have a little bit of inventory uptick. Then we've got that's small compared to the overall size of EMCOR. Have a little bit of import inventory uptick where we lock in the price. On certain pipe and conduit wire, to be able to build a project. Jason, do you have anything to add on that?
Jason Nalbandian: I think you summarized it, Tony. So you can tell we spend a lot of time thinking about this?
Tony Guzzi: And absolutely. Our team's ready. And again, go back to we're contractors. We get paid to adapt to really difficult situations. Figure out a solution how to overcome it.
Brian Bofe: Yeah. Very very helpful, Tony. I will pass it on. Congrats again.
Tony Guzzi: Alright. Thank you. Thanks, Brian. Next question, Betsy.
Betsy: The next question comes from Alex Dwyer with KeyBanc Capital Markets. Please go ahead.
Alex Dwyer: Hi, guys. Good morning. Thanks for taking my questions.
Tony Guzzi: Of course. Yep.
Alex Dwyer: So I just wanted to start and ask about your data center business and if you're seeing any shifts in geographies where projects are being bid? I'm just wondering if data center investment moves to these more, like, remote areas, it could be harder to hire a labor force. If this is something you're planning for and are there any investments that you can make ahead of this to better position EMCOR in this scenario?
Tony Guzzi: So the answer would be yes, yes, and yes. If you were to rewind, yeah. Rewind to 2019, we were serving about three data center markets electrically. One and a half or so mechanically. Today, that's the addition of Miller about fifteen or sixteen electrically. And most of the expansion has happened in secondary markets. And by secondary market means, you know, not Metro DC, not Metro Atlanta, not, you know, market we've worked in forever and Portland, Washington. And a little bit of Texas. So what happened? Right? There's been this quest for power, the search for power. These are really smart planning people. And so they said, where are we going to be able to build for the next five years without having a dearth of power? That we're pretty going to have a surety of power. And so you're seeing them go to places over time, over the last three years, really. And I think they feel a little better because they're not as worried about cash generation. You know, you're never going to power this expansion with renewable intermittent power. It was going to be part of the solution, but that's not a solution for something that needs to run twenty-four hours a day. At fifty to a hundred megawatts. So if you think you weren't going to have surety of power, you were out looking for pockets of power where you know where they were going to be. That's why data centers were coming into parts of Indiana. That's why data centers were expanding more in Columbus, Ohio. Think about Ohio River. Right? And if you didn't have coal power coming up, you still had some nuclear, it'd be all going to be able to build gas generation. That's why data centers expanded Northern Virginia originally, and they moved down to the Richmond area. But why did they do that? Because you have power coming out of West Virginia, Southern Virginia, it's all sources of power. Traditional power. Why you had data centers going to Oklahoma where you did have some renewable or, let's say, intermittent power. You did have some of that with wind. But you also had baseload fossil power that you could bring to bear. That's why you see them going to Charleston, South Carolina. Right? That's why you see them going to Atlanta. I'll just give you an aside in Atlanta. There's a big data center being built center campus being built south of Atlanta. That data center campus, there were three nuclear reactors being built that were are built. The first one's brought online. The give or take is about five thousand megawatts. A lot of power. Right? Yeah. That data center campus will use one and a third. And the Electron doesn't care where it comes from. One in a third of one of those new nuclear reactors one data center campus. So you know, that's why they've expanded. So how we handle that? Well, we've done it through acquisition. Also done it. They've taken some of our existing capacity. What we've learned is our teams that can build hospitals, and our teams that can build manufacturing plants and service manufacturing plants. Those teams have the skill and ability with some training and some cross-training. Right? So we take folks from places where we built data centers. They go in on the front end and help with estimating and developing the plan of work and the means and methods. And then those teams can come in, and then now we could train up what are really good electrical and mechanical teams to do more work. We've also done it through organic expansion. An example of that is what we've done in Columbus, Ohio. We took two of our best operating data center teams mechanically out of Poole and Kent. And Bachelor and Kimbell, they came together and formed a company called Upland. It's there specifically to serve data center clients, but now will serve the market more broadly. And, you know, over a two or three-year period, we become one of the leading mechanical data construction companies in Columbus, Ohio. And one of the leading mechanical contractors. And that's new for us. We hadn't done a lot. We did the same thing electrically in Arizona. Through organic growth and investment. There, we started with firstly, our team from Dine Portland, the building excellence in prefabrication. In Portland, bringing that capability down to Arizona, recruiting a workforce. That workforce started with building a great prefabrication shop, with a couple of low voltage jobs in the semiconductor space. Now they can pivot and do day two's data center work. And with six months to a year with creativity of the leadership team there, and the means and method know-how and innovation, they'll be servicing the broader data center market in Arizona. So that's just a snippet of how we think about it. And then being able to look at now an energy policy potentially that brings more surety to power, which I believe is, I said earlier, really, I think it'd be significant expansion in gas plant power construction. Which is clean, and will also provide the base load necessary to continue both the reshoring to have a surety of power also the data center expansion, especially when you go from traditional cloud storage data centers which is a forty to a hundred megawatt game or seventy-five megawatts, to an AI, which is somewhere between a hundred and fifty and two hundred. And just rewind the tape for people. Take two hundred megawatts, and save five thousand to sixty-five hundred homes. And that'll give you an idea of the power usage needed to supply a data center.
Alex Dwyer: Thanks, Tony. That was a super helpful answer. And then, I guess my second and last question is just on the industrial services outlook for this year and kind of think about what is built into guidance from a revenue growth and margin perspective. I know there's room for the margins to continue to perform here, and how meaningful do you think of an impact it could be with a more oil and gas-friendly administration the next couple of years.
Tony Guzzi: I think the real benefit will be 2026 and beyond. I think what you're seeing this year is a more traditional turnaround market. With the caveat is the first quarter got off to a little bit of a slow start because of, you know, the snowstorm in Texas, which delayed everything a week. Which means we ate a little bit of labor, nothing significant. We had a little bit of labor for a week as we were geared up to start turnaround season, and then everything got stuck in place in Texas for a week. See a normal turnaround season, probably a little more back half loaded than we should but that happens year to year thing. But we continue to see the force marks to normal demand. We do see, you know, hopefully, somewhere around, you know, back half 2025 going to the 2026. Or we have a great electrical business as the team at Ardent down in Louisiana. It's for Texas up into North Dakota in the Mid Con area. They're some of the best upstream and midstream people. That is really where we have the exposure. And if there's opportunity there, they'll take advantage of it. And that should come in the form of more compressor stations, and also bringing electrical services to the wellsite.
Jason Nalbandian: Yeah. The only thing I would say in terms of what's baked into guidance, I would say there's nothing extreme in terms of growth assumptions for 2025. The one thing I'd point out is we did have an acquisition in industrial services this year. Some of the growth we saw this year came from an acquisition. So we would expect a more normal level of organic growth next year.
Tony Guzzi: And that acquisition was focused on upstream, and it was focused on really helping control solutions around methane. And that's why we bought it. It expands our services and puts it with a great team down at Ardent. I will say as we look from the middle of 2026 through the middle of 2028 and a half, we're hoping that be glad we own that asset. In the out years. I mean, the whole industrial services segment. In the out years coming up.
Alex Dwyer: Got it. Thank you. I'll turn it over.
Tony Guzzi: Thanks, Alex. Betsy, next question?
Betsy: The last question today comes from Adam Buck with Goldman Sachs. Please go ahead.
Adam Buck: Hi. Good morning.
Tony Guzzi: Good morning, Adam.
Adam Buck: Hey. I think the midpoint of your guide assumes around 7.5% organic growth. Can you just help us bifurcate 2025 organic growth between your highest growth end markets data centers, and high-tech manufacturing and how that compares to the balance of the business?
Tony Guzzi: Yeah. I'm going to kick us over, Jason. I don't think we see significant growth because we'll have to get it into RPOs first. I will see the growth there first before we have growth in revenues in high-tech manufacturing. We do see data center growth but Jason, I'll throw it over to you, but it's sort of fifty-fifty, isn't it?
Jason Nalbandian: I think that's fair, Tony. I mean, I think when you look at this year and you look at our growth, again, traditional non-res, we probably grew a hundred to a hundred and fifty basis points in excess of non-res. And so when we think about next year and we say what's the assumptions for the high growth sectors versus what's the assumptions for the rest of the business. I think we'll continue to grow somewhere between one hundred to two hundred basis points in excess of non-res.
Tony Guzzi: That's EMCOR overall.
Jason Nalbandian: EMCOR overall. But in our electrical mechanical segment, it's almost twice that. Right?
Adam Buck: Got it. Appreciate the color there. And then how are you thinking about your ability to continue to grow employee count in 2025 and how much of that, you know, 7.5% organic growth would be driven by employee capacity versus room for further utilization improvements?
Tony Guzzi: You know, our headcount clearly hasn't been growing as fast as our revenues. Right? Our man hours grew eight or nine percent in 2024. They've been growing probably man hours if you take it over a three or four-year period has been growing about sixty to sixty-five percent of our revenue growth. We expect to be able to continue that trend going. And that goes to what our folks are doing in prefab, what they're doing in planning, what they're doing in estimating, and all those things. We always complain, you know, in the field about not being able to find the people. But our folks do a wonderful job of finding the people. And I always go back to what I always say, right? At the end of the day, how do you attract great tradespeople to come and want to work for you? Sometimes for a project with someone for a career. I think it gets down to four or five things. Right? I think and these are no particular order. First, they want to know they're going to get paid every week. And if they're union employees, they want to know that also you're paying into the benefits fund. The second thing, right, again, no particular order, they want to know that you're going to make the investments to keep them safe. That's not only in the means and methods to make sure the job's well planned, but also they have the equipment they need to be successful. In my twenty-plus years at EMCOR, we have never turned down a safety and then we never will. The third thing they really care about, am I being led by people at the local level? And above, but mainly the local level? From the foreman through the superintendent to the project manager to that CEO and VP of operations. They know what I'm doing and know what the challenges on the job. And that they can come in and help me if they need to get through a tough situation on a job site. I think another thing that someone that wants to build a career with us, if I do a good job for you, will you make me part of your permanent team? You know, we have you take our trade workforce, about two-thirds of it give or take. Or with us from project to project to project, they build a career with us. And I think, finally, I think a lot of them want to be with a company that, quite frankly, does some of the most interesting work in the space. You know, tradespeople don't like to do a lot of rework. They like well-planned jobs. And quite frankly, they like to point to the skyline or point to the market and say, I built that. You know, and I was part of the team that built that. I'm part of the team that takes care of that. And, you know, it's it and they take a lot of pride in that. So I think, you know, EMCOR emphatically goes check, check, check, check, check. We talked about Miller earlier. Miller can do the same thing in their markets. It's check, check, check, check, check. Right? They also provide that environment for the tradespeople to build long-term success with them.
Jason Nalbandian: And just to add on to Tony's comment about headcount, you know, not growing as fast as revenues, if you look over a ten-year period, our revenue CAGRs round number is ten percent. Our headcount CAGR is three, three and a half percent. Right? And kind of a three to one ratio in if you look at even just this year alone, headcount's up five, five and a half percent. Revenue growth is up almost sixteen percent. So that ratio is holding true even today and we expect those to be at sixty-five percent.
Tony Guzzi: We go back. Right? We expect to only have to grow headcount a third and a half as much as we grow revenue. And we still see no reason why that would be. Yeah. We're trying to say sixty-five percent sort of is covered.
Adam Buck: And then last one for me, really strong margins in the quarter and understand margins can bounce around quarter to quarter, but any specific driver of the positive variance in margins versus your expectation heading into the quarter? And any other major puts and takes driving the margin outlook? You mentioned incremental intangible amortization, but any other moving pieces we should keep in mind in terms of mix or any other pieces in 2025.
Jason Nalbandian: Yeah. I think in terms of the quarter, there's really no anomalies. I think we beat our expectations when it came to execution, particularly in the electrical segment. Right? Which had a north of fifteen percent margin. When we look to 2025, outside of the intangible asset amortization, I don't think there's any anomalies or any one-offs to be considered.
Tony Guzzi: No. I think also, you know, at these levels of margin, heard me say before, if I could run EMCOR forever between eight and a half to ten percent combined margins with good growth, where we are right now, we are very cognizant in keeping good margins. But, also, we're more worried about margin dollars right now than margin percentages. Right? At these levels, we want to grow margin dollars. And if we had to give up ten basis points to do that, we would do that.
Adam Buck: Great. Appreciate all the color.
Betsy: This concludes our question and answer session. I would like to turn the conference back over to Mr. Guzzi for any closing remarks.
Tony Guzzi: Look, thank you all for your interest in EMCOR. I know there's a lot more than the analysts that ask questions. Hopefully, you got most of your questions answered. You know, we expect another good year excited about the future. And to our team, let's work safe and productively in 2025 or even better than we did in 2024. Well, then, Andy, I'll throw it back to you to close out the call.
Andy Backman: Great. Thanks. Thanks, Tony. Thanks, Jason. And thank you all for joining us today. If you should have any follow-up questions, please do not hesitate to reach out to me directly. Thank you all again, and have a great day. And Betsy, will you please close the call?
Betsy: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.